Operator: Good morning, ladies and gentlemen, and welcome to the First Quarter 2019 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host Mr. David Yeilding, you may begin.
David Yeilding: Thank you, Operator. Good morning, everyone. Thank you for joining to discuss goeasy's results for the first quarter ended March 31. The news release, which was issued yesterday after the close of market, is available on GlobeNewswire and on the goeasy website. Today, Jason Mullins, goeasy's President and CEO, will talk about the highlights of the first quarter, and review our financial results before we open the lineup for question from investors. David Ingram, the company's Executive Chairman; and Jason Appel, the company's Chief Risk Officer, are also on the call. Before we begin, I remind you this conference call is open to all investors and is being webcast through the company's investor website. All shareholders, analysts and portfolio managers are welcome to ask questions over the phone after management is finished. The operator will poll for questions and will provide instructions at the appropriate time. Business media are welcome to listen to this call and to use management comments and responses to questions in coverage. However, we would ask they do not quote callers unless that individual has granted their consent. Today's discussion may contain forward-looking statements. I'm not going to read the full statement, but I will direct you to the caution regarding forward-looking statements included in the MD&A. Now I'll turn the call over to Jason Mullins.
Jason Mullins: Thanks David. Good morning, everyone, and thank you for joining today's call. It was a strong start to the year, highlighted by disciplined loan growth, stable credit performance and record financial results. As we outlined in the last few quarters, we set out in the back half of 2018 to implement several proactive credit adjustments to approve the long-term credit quality and performance of our portfolio. While the consumer demand remains strong, and loan applications from new customers in our retail and online channels increased 23% year-over-year, the deliberate credit adjustment served to moderate the growth of our loan originations in the quarter. Total loan originations in the quarter were $219 million, up 8% from the $202 million in the first quarter of 2018. Overall, these originations were issued to better quality risk segments, and 63% of the credit we advanced was issued to new customers, up from 58% in the same period last year. In addition, our secured lending product accounted for 12% of our loan originations in the quarter, up from 4% in 2018, demonstrating the strong growth potential for this product. Secured loans now represent $68.4 million or approximately 8% of our total loan portfolio. The increased originations led to growth in the loan portfolio of $45.6 million, which reached $879 million, up 46% from $602 million at the end of the first quarter in 2018. We continue to see great improvements from our new digital lending platform, which is now converting our web traffic into loan originations with a 30% improvement over our prior site. With the proportion of loan application volume coming from digital continuing to hover at 40%, and over 70% of that web traffic coming from a mobile device, investing in digital technology and online marketing capabilities will continue to be key to enhancing the customer experience. Total company revenue was $140 million in the quarter, up 22% driven by the growth in the consumer loan portfolio. The total yield in the quarter was 50.1%, down from 56.1% in Q1 of 2018. As we shared in the past, the gradual decline in the yield is part of our long-term strategy, to increase our use of risk-based pricing and expand our product suite, which increases conversion rates less the average loan size and extend the life of our customer relationships. This approach is a true win-win and supports our vision of helping everyday Canadians improve their credit and graduate back to prime. It also provides consumers with wider choice and access to lower cost borrowings while producing greater long-term profitability for the organization. Turning to credit, the net charge-off rate for Q1 remained consistent with the fourth quarter of 2018, at 13.1% and within our targeted range for the year of 11.5% to 13.5%. The overall delinquency after the final week of the quarter closed at 4.4%, down slightly against the 4.5% at the end of the first quarter in the prior year. We are also making great strides in Quebec. In addition to seeing another sequential decline in the loss rate in that market by almost 300 basis points in the quarter, we also successfully introduced the second phase of our new custom credit strategy, which will help deliver further improvements and sustainable performance in the future. With the new credit strategy in place, we have begun to increase our focus on growth in that market, which will be aided by a French-language media campaign that was introduced this April. In the quarter, our provision rate increased by 18 basis points to 9.76% from 9.58%. Most important, the provision rate associated purely with the underlying credit quality and the portfolio improved slightly. However, this was offset by the impact of the forward-looking indicators, which served to result in a modest increase. Under the IFRS 9 accounting standards, the provision for future losses much like the in period net charge-off rate is susceptible to some volatility from quarter-to-quarter. I will also take a moment to comment on our easyhome business. In 2017, we expanded the offering of our releasing stores by adding consumer lending. Since then, the loan book associated within the easyhome stores has increased over $24 million, the effect of which has been an increase of revenue, operating income and operating margins. Overall, we expect a steady improvement in this business unit as lending becomes a more meaningful part of easyhome's portfolio. For the total company, the revenue growth and stable credit performance led to continued expansion of the operating margin, which reached a record 27.7%. Net income for the quarter was a record $18.3 million, up 65% from $11.1 million in the first quarter of 2018 resulting in a record diluted earnings per share of $1.18, up 53% from $0.77 per share in the first quarter of 2018. The strong earnings growth also lifted our return on equity to a record 24.4%, up from 19.8% in the prior year. Turning briefly to the balance sheet. We highlighted during our last call that in the first quarter, we made an amendment to our existing senior secured revolving credit facility, that served to increase the limit, extend the term and reduce the costs of borrowing. This balance sheet enhancement helped increase our financial liquidity while reducing our fully drawn costs of funds to 6.8%. Based on the cash on hand at the end of the quarter and the borrowing capacity under the amended credit facility, we had approximately $265 million in funding, which enables us to fund our growth plans through the third quarter of 2020. During the quarter, we also continued to exercise our Normal Course Issuer Bid to repurchase 283,500 shares at a weighted average share price of $41.75. Since implementing the NCIB last October, our total repurchases now state 682,000 shares bought at a weighted average price of approximately $39. In closing, and as we outlined last quarter, we continue to expect growth to build gradually throughout the year, resembling a similar cadence in years prior to last. Prior to 2018, we typically experienced between 15% and 20% of our full year growth during the first quarter due to usual seasonal trends. In 2018, we had the effect of several new initiatives launched in late 2017, which resulted in a greater proportion of the growth in the year happening in earlier half of the year. As such, we remained well positioned to achieve our targets for 2019 and beyond. Most important, we continue to focus on gradually improving the credit quality of our originations through risk-based pricing and product expansion while delivering stable long-term performance that strikes the optimal balance between growth and disciplined credit risk management. As indicated earlier in the year, we expect the net charge-off rate to be in the upper end of our target range for the first half of 2019, and gradually decline throughout the back half of the year as our credit adjustments began to influence the overall portfolio. We have a proven track record and confidence in responding the changes in the business and making the necessary enhancements to deliver consistent results over time. In addition to producing industry-leading financial performance, we are driven by a goal to provide everyday Canadians with the access to the credit they need, as we help them on the path to a better tomorrow. With an ever-broadening set of products, ancillary services and free education to help our customers improve their financial health, we are proud to see our vision brought to life, with one in three easy financial customers graduating to prime credit and 60% increasing their credit score within 12 months of borrowing from us. These results give us confidence that our strategy is working while producing benefits for our customers and our shareholders. With those comments complete, we will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Nik Priebe from BMO Capital Markets.
Nik Priebe: Just wanted to start with a question on commissions earned from ancillary products. I think in the MD&A, you had alluded to the fact that certain commissions earned on those products are generated based on new loan originations rather than being earned on something it can to a trailing basis? So I guess, just for my own understanding, what proportion of those - the total commissions earned, say in the easy financial segment would be considered sensitive to transaction volumes in a period as opposed to the overall size of the portfolio?
David Yeilding: Nik, it's Dave. Nik, we don't disclose the breakdown of the individual ancillary product revenues. I can tell you that qualitatively, it's our home and auto products that is a traditional roadside assistance and various other ancillary services associated with it that is sold when a new loan is originated. So one of those is seen due to loan book growth is a little bit lower in Q1 of this year than last year. Our opportunity to sell H&A in the current quarter declined. That's reduced the ancillary revenues as a proportion of the interest in the quarter.
Nik Priebe: And just on topical loan growth. I know that you had attributed that slightly lower amount of loan growth in the first quarter relative to the past few quarters, just that some of the credit modifications you made in the second half of last year, but I also wanted to ask to what extent weather patterns might play a factor in volumes as well? Like I'm just wondering, in the past, if you've seen some variability in consumer lending activity, that could be explained by abnormally good or poor weather in the period in question?
Jason Mullins: Nik, it's Jason. No, I would not say that weather, in general, has much impact on the business. We have usual seasonal trends quarter-to-quarter, which are more a function of the state that people are at in their lifecycle throughout the year. For example, in the spring, they're preparing for summer. They've got extra expenses like putting summer tires back in the car, preparing for kids camps as they get out of school. In the fourth quarter, we've experienced seasonal trends due to, obviously, the holiday seasons. But if you break down the quarter, you might have weather-related matters on a particular day or a particular week, but by and large, that's not going to be material on growth in the quarter. The growth for us was really a function of the things you mentioned one being the credit adjustments we made, which we felt were the right prudent choices to make, and while it was still a healthy growth quarter, it was a bit more moderate. It's also, of course, compared to 2018, where we mentioned we have a number of initiatives all come out in the same time, that made the seasonal patterns that we typically saw a little bit more abnormal. So this year was lot more similar to years in past in terms of how that growth would build throughout the year.
Nik Priebe: And then it looks like, if I'm looking at marketing spend, it looks like it was a little bit lower on a sequential basis, but arguably, a bit higher than it typically would have been for the first quarter of the calendar year. Just wondering, is that reflective of a change in the size of the budget relative to revenue, or were there some other considerations that may be factored into the decision to direct a little bit more that marketing spend into the first quarter?
Jason Mullins: So by and large, the total marketing spend will continue to hover around 4% of revenue that it had in the past, but obviously, with the growing book, a growing revenue base, the absolute spend will continue to decline in proportion of revenue. This year, the only thing I think that shifted the spend difference between the first and second quarter is to be slightly different than last year is a little bit of our mass media campaign that we typically run in the spring started a little bit earlier. And so hitting at the very end of the first quarter, that put a little bit of that mass media spend into the first quarter, even though it's really broadly speaking spring campaign. Whereas I think last year, some of that mass media didn't actually quite begin until the second quarter, so it's a little bit of a timing difference between what it hits between those 2 quarters, but on amalgam, will still be in line with around the 4% revolving target.
Operator: Your next question comes from the line of Gary Ho from Desjardins Capital.
Gary Ho: Maybe just a startup on the loan growth as well after Q1. Maybe Jason, like what would give you - what gives you confidence that you'll be able to hit your 2019 target and with that until some trade-offs perhaps on the credit quality going forward?
Jason Mullins: No, I think if we look at the plan we had for the balance of the year in terms of sales and marketing initiatives, we look at the years prior to '18 and what was the normal seasonal trend that build the growth throughout the year. All of that in our view inspires to still give us confidence and the ability to hit the target. We prioritize the discipline around credit risk management. And so in no time would we envision loosing credit quality and stepping backwards from our plans to progressively improve the credit performance of our book, at the sake of just driving the incremental growth. So now if we were concerned about falling short of that target, we would not make the trade to sacrifice credit in exchange to even hit the growth number. We feel we have a plan where we cannot only deliver improvements to the credit performance in the back half of the year, we can also achieve the target. And of course, as the next couple of quarters unfold, we'll provide more clarity as we get more comfort. But the plan we've built is to very much still achieve all of those commercial targets.
Gary Ho: And then maybe just on Quebec specifically. What would be the loss rate for Q1 be? And I hear you correctly that the sequential change was down 300 basis points there?
Jason Mullins: That's right. Yes. So we don't provide the loss rate details at the provincial level, what we can tell you is as you know, at the third quarter, we first indicated that we didn't see performance in line with what we were comfortable with. We had mentioned then that it had hit around 20%. We mentioned that Q4, we saw a sequential decline. And then yes, you could - you heard that correctly, in Q1, we saw another sequential decline by about 300 basis points. So I can tell you that the Quebec portfolio is still performing higher than the portfolio average, so there's still some work to be done. But the fact that we've seen several quarters of sequential decline on the back of the first round of credit changes we made coupled with the new changes we've just implemented that we feel quite comfortable with, we continue to believe that that book can and will perform at the average of the portfolio and does provide still very good prospects for growth.
Gary Ho: And then just lastly, maybe more of an industry question. Saw that Fairstone recently completed an ABS deal on the Canadian market, I think it was just over $300 million. Is that something management would entertain and is that something you've studied? And I imagine that would lower your cost of fundings.
David Ingram: Ho, it's David. We are actually very enthused about seeing the success of that issue that Fairstone completed in the last few weeks. So we have also been looking at other types of securitization vehicles for the structure way in which this one we've done is quite unique to us here in Canada. But I think it certainly gives us more encouragement to see that there are some options that are available here in the market. It's clearly now a market of that type of structure. And we'll continue to have ongoing dialogues with that bank and look at options that we can pursue later this year.
Operator: Your next question comes from the line of Richard Roth from TD Securities.
Richard Roth: A quick follow up on the advertising expense question. Is it still safe to assume that going forward, Q1 and Q3s will be the trough quarters for this line item?
David Yeilding: I think that's correct, Richard.
Jason Mullins: Yes, generally speaking, yes.
Richard Roth: And then on loan yield, so we've seen another decline and I understand your explanation about increased risk adjustment loans and secured loans and higher dollar loans. But this also appears to be systemic in nature. If I sort of run this out to the end of '19, it seems to suggest that you're going to come in at best at the lower end of your guidance range on loan yields. Is that the right way to think of things?
Jason Mullins: Yes. So the yield I think for the target range this year was 49% to 51%. So although the first quarter coming in at just above 50% is already at the midpoint, I do think based on the way we built the plan this year, you'll see the yield decline be far more slow and moderate than in the past. So by and large, I would just suspect that yields will be more flat for the next couple of quarters. And then for the full year, probably finish, yes, somewhere between the low end and the mid-point of the full year's yield target.
Richard Roth: And then on the loan growth. So as you mentioned, it was a bit more modest this quarter than historically. Given your guidance range, this implies that Q2 is probably going to be a very strong quarter for originations. Is that correct? And if so, do you see things panning out thus far in Q2 consistent with that?
Jason Mullins: Yes. So far, Q2 is up to a good start. It absolutely needs to be a bigger quarter for originations and specifically net loan growth. And we believe we're off to a good start. So, yes.
Richard Roth: And then 1 final question on buybacks. So I was looking at your most recent buyback activity, and you're still active within the, call it mid to maybe slightly upper 40 range. Do you sort of have an internal cap on where you see the value proposition sort of diminished from a buyback perspective? Like what price point?
David Ingram: Yes, Rich, it's David. We stopped the buying just as we went into a closed period. So we could be back in the market next week for continued purchasing. For us, we look at the intrinsic value of when, I think, the stock should trade and we looked at, obviously, where it should issue, it's at $50.50. So we have put in a self-imposed cap at around $46, $47. We're going to continue to reassess that over the next week or so. There's still a gap between what we've purchased so far what the bank allows us to purchase to. So I think there's about 200,000 shares to go. And if you take the aggregate of best things we bought during the - just on the 700,000 shares we repurchased, it's around just over $39. So we're comfortable where we've been buying this about 20% difference to where we had issued stock. But our self-imposed cap has been at $46 to $47.
Operator: Your next question comes from the line of Brenna Phelan from Raymond James.
Brenna Phelan: So I wanted to start with the bad debt expense recorded in the quarter and the charge-offs trending in the right direction looked good, very consistent with your guidance, but the forward-looking indicators are modeling adjustments. Can you just walk us through what specifically revisions to forecasts had the greatest impact? And from here, are we now - are you now less sensitive to a "like deteriorating degree of forecasts?" How are you thinking about the overall provision comprised of the charge-offs and that FLI-driven model, as you think of your bad debt expense coming throughout the year?
David Yeilding: Brenna, maybe I just wanted you to comment and then I'll turn it over to Jason Appel as it relates to the FLIs. I mean, if we look at the actual provision rate in the quarter, it did go up around 18 basis points. If we look at the provision rate before the FLIs, it actually came down a little bit. So the FLIs ultimately drove the increase in the quarter. I'll turn it over to Jason to give you a little bit more color on the specifics of it.
Jason Appel: Yes, Brenna. The major change quarter-over-quarter if we look at how Q4 came in was the run-up in the price of oil. As you know, the way the FLIs work in our pricing model as we disclosed in the financial statements in MD&A, it's the change in the actual price of this case priced versus the 1-year forecast. What transpired in the quarter as we saw fairly significant run-up in the price of oil, but the 1-year forecast effectively that we used from the average of the 5 Canadian banks, related in change on that much and oil is a positively correlated very well in the model, so increases in the price of oil tend to be positively impacting provision in a good way. But since the vast majority of that delta between the actual price of oil and the forecast that price of oil effectively nullified, that took a fairly significant hit in terms of our overall impact on the FLIs. Now to your comment around how we think about the FLIs going forward, we've been now doing IFRS 9 reporting now since 2018. When we built the FLI model that we used, we looked at the historical period of how our portfolio performed a lot of variety in different Canadian economic indicators, three of which as you know that we landed on being unemployment inflation in the price of oil. We will likely revisit that model construct in Q2, with the view to understanding that whether or not those variables, and indeed whether or not other variables should be revisited or even swapped in to understand how impactful they are in truly measuring the default risk in the portfolio seeing as how we've had another 18 months of performance accrue since we built the original model. So I think going forward, you can expect this and I think other lenders in Canada will follow a similar suit as they will continue to tweak and revisit how they build their FLIs models because like them, we are also subject to quarter-to-quarter volatility swings and that just refill a little bit of havoc in terms of how we think about the portfolio going forward. So in the quarter, we anticipate coming up with the new FLI model that we think will be just as predictive, but perhaps smoothed out if you will some of the volatility that we've seen over the last couple of quarters.
David Yeilding: I think the other thing we'd add, Brenna, is we do take a look at all the disclosures from the banks, from this non-filing mortgage lenders home, equitable, et cetera and we understand the FLIs. They are going to be - they are currently using will go in that data and their thought process as we go through Q2.
Brenna Phelan: Just following on a little bit. Is there any differentiation in how you model and reflect those FLIs based on geographic locations. Like is your Alberta forward-looking indicator-driven model more sensitive to the price of oil?
David Yeilding: The answer is no. It's based on the book on block, we apply the FLIs.
Brenna Phelan: Okay. And then turn...
Jason Mullins: Yes, I think Brenna...
Brenna Phelan: Sorry, go ahead.
Jason Mullins: Sorry, Brenna. Just to add 1 quick thing in terms of the way the FLIs worked in. The other important thing to remember is it's - the FLI influence is based on the delta between the actual and the forecast. So when there is a gap between the actual and the forecast, if the actual rises towards the forecast or declines towards the forecast that delta ultimately shrinks. So in some periods where that delta rises or the gap rises, there is an expense associated to that, but then in subsequent quarters as the gap narrows because the actual gets closer to the forecast then you get the reverse effect. And that's part of what creates the volatility and so generally speaking, when the actual is rising or declining toward the forecast unless the forecast continues to move outward at the same rate, you're going to see some of the give-back effect of those FLIs.
Brenna Phelan: And ultimately, you've reversed this.
Jason Mullins: That's right. So we really don't know exactly what will happen in each quarter, but that is what's created some of that lumpiness.
Brenna Phelan: Yes, understood. And then turning to the origination composition in the quarter. So big - well, pretty significant step up in the originations of the secured lending product. Is that, you're still really happy with the credit quality, I think last year, you referenced it outperforming actually your initial expectations for credit losses there. Can you tell us how you view the outlook for that asset class going forward?
Jason Mullins: Yes. So we continue to feel very good about that products. As you said, we've started to increase the emphasis on the growth of the products. We made a number of credit enhancements to the way we manage and underwrite the portfolio it - mid last year. Those continue to perform well. The loss rates still are better than our expectations and continue to show great trends. And so we feel very good. I think our plan is to continue to see that product slowly and steadily become a more meaningful part of the portfolio. Obviously, the fact that we only have about 20% of our customers that are homeowners mean that puts a bit of a sort of governor on what that can represent in the long term, but it can still be very meaningful and has been very good performing high-quality book.
Brenna Phelan: And to those loans generally come with an associated ancillary fees, no?
Jason Mullins: Yes, they do. They do. The yield on those fees is lower than the yield on the unsecured products, because they are larger loans and better quality customers. The effective cost of them is smaller, but they're still healthy and produce good contribution to the margin of the product.
Brenna Phelan: And just as you turn your focus to some of the new initiatives that you've discussed like the point of sale, auto, health care. How do you think about your advertising targeted spend, like what's your customer acquisition strategy? Are there any differences? Do you think the consistent credit adjudication models apply? How should we be thinking about you entering those somewhat new channels?
Jason Mullins: So couple of comments, those are two questions there I think. So first of all, the plan in terms of how we will execute marketing is to continue to invest 4% roughly of our revenues in marketing and brand awareness. So as we have done for last long number of years now, we believe that's the right and optimal level of investment in marketing and credit brand awareness, particularly in major advert campaigns. And while some of those campaigns don't always lead to an immediate response, they do create long term very healthy increase in brand awareness, and then produce part of our long-term growth. We think about the point-of-sale channel while those channels will create acquisition that doesn't really come with marketing and acquisition spends, they really just come with the origination. Usually, the economics on the originations from point-of-sale generally are a little bit better, however, do benefit from the fact you acquire a customer a little bit cheaper on the front-end and then have them for their full life where you can then cross-sell and upsell them in the other products. And so it will over time, was still very tiny today, we think become a very helpful and additive way to acquire customers. In terms of your other part of that question around, well how do we deal with credit in that space, we provoked the in-store point-of-sale solution we built and the one we are in the progress of building, which is to be able to offer that same offering in e-commerce. The credit strategy is very, very similar. We leverage our own internal customer proprietary scoring models. What we've done, it started with a slightly higher rate for credit tolerance. So being a bit more conservative with the credit risk we're prepared to take as we wade into that channel. So that is also part of why the growth from that new channel, like it has with other new products we've introduced is generally at the beginning, slower and takes more time. Is it consistent with our philosophy of waiting and slowly testing, gathering data and getting comfort and so well, we use all the same credit modeling techniques and strategies around evaluating credit affordability, we will be more conservative at the beginning until we get more comfortable and then it will lead to more meaningful revenue in future thereafter.
Operator: [Operator Instructions] We have a question coming from the line of John Sartz from Viking Capital Corp.
John Sartz: I was just wondering, can you explain to me the delinquency ratio at 4.4 versus 4.5 and I'm just wondering, how do you neutralize for growth in the loan book?
Jason Mullins: So the delinquency rate measure doesn't really neutralize for that. But as the delinquency measure really is just an inferior snapshot of what is the proportion of loans that are more than 1-day past due, but not yet charged off as a function of the average loan book. So it's really just a snapshot of a point in time. What we do track internally, which we don't put in our disclosure, but we do carefully monitor is the vintage performance. So actually looking at cohort for loans, and how they're performing over time, that's the measure that primarily informs how we manage credit. But to your current around delinquency, it's not really adjusted for any change in book growth, it's just a snapshot measure out of point in time and generally speaking, over the last number of years, we've trended between that 4.5% to 5% range in terms of the proportion of loans that are past due at any point in time.
John Sartz: And of course, given the fact that it's difficult to be delinquent within the first month, it's - the growth, obviously, tends to reduce the delinquency number.
Jason Mullins: Yes, that's so - that is true, although I would say that if you look at the growth in our book as a percentage, as the book has gotten bigger over the last few years, it does mean that the percentage change of growth slows. And so as the percentage of the growth in the book is slowing, a steady or declining delinquency and loss rate actually indicates you have to perform better in terms of credit quality, otherwise to your point, you would otherwise see that metric rise.
Operator: There are no questions at this time. Please continue.
Jason Mullins: No other questions, moderator?
Operator: There are no questions at this time, you may continue.
Jason Mullins: Thank you. Okay. Thank you. Since there are no more questions, I want to thank everyone for participating in the conference call. And we look forward to updating you that are attending the AGM later this morning. Thanks, everyone.
Operator: This concludes today's conference call. You may now disconnect. Thank you, and have a great day.